Operator: Good morning and welcome to the BlackBerry’s Fiscal Fourth Quarter and Fiscal Year 2018 Results Conference Call. My name is Carey and I will be your conference moderator for today’s call. During the presentation, all participants will be in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to our host for today’s call, Christopher Lee, Vice President of Finance. Please go ahead.
Christopher Lee: Thank you, Carey. Welcome to BlackBerry’s fiscal fourth quarter and fiscal year 2018 results conference call. With me on the call today are Executive Chairman and Chief Executive Officer, John Chen and Chief Financial Officer and Chief Operating Officer, Steve Capelli. After I read our cautionary note regarding forward-looking statements, John will provide a business update and Steve will then review the financial results. We will then open the call for a brief Q&A session. This call is available to the general public via call-in numbers and via webcast in the Investor Information section at blackberry.com. A replay will also be available on the blackberry.com website. Some of the statements we will be making today constitute forward-looking statements and are made pursuant to the Safe Harbor provisions of applicable U.S. and Canadian securities laws. We will indicate forward-looking statements by using words such as expect, will, should, model, intend, believe and similar expressions. Forward-looking statements are based on estimates and assumptions made by the company in light of its experience and its perception of historical trends, current conditions and expected future developments as well as other factors that the company believes are relevant. Many factors could cause the company’s actual results or performance to differ materially from those expressed or implied by the forward-looking statements, including the risk factors that are discussed in the company’s Annual Information Form, which is included in our annual report on Form 40-F and in our MD&A. You should not place undue reliance on the company’s forward-looking statements. The company has no intention and undertakes no obligation to update or revise any forward-looking statements, except as required by law. As is customary, John and Steve will reference non-GAAP numbers in their summary of our quarterly and annual results. For reconciliation between our GAAP and non-GAAP numbers, please see the earnings press release and supplement published earlier today. Also, please note that free cash amounts that John and Steve will share for the fourth quarter and fiscal year 2018 are before considering the impact of costs related to restructuring and transition from the hardware business and the net impact of arbitration awards and damages. I will now turn the call over to John.
John Chen: Thank you, Chris. Good morning, everybody. As Chris stated earlier, I will reference non-GAAP numbers in my summary and our quarterly and annual results. I am very pleased with the execution in both the fiscal years as well as our fourth quarter. Fiscal year 2018 was a good year. We achieved 14% software and services revenue growth year-over-year on the strength of all our businesses. These results were at the higher end of our guidance of 10% to 15%. This was the first quarter, where all three of our software businesses grew both year-over-year and quarter-over-quarter. In the fourth quarter, year-over-year revenue growth for software and services was 13%, which comprised of the following, 12% came from the enterprise software, 4% came from licensing and IP, 31% came from BTS. BTS performance was strong in the quarter, particularly for the BlackBerry QNX. We also achieved positive earnings per share and positive free cash flow for both the fourth quarter and the full fiscal year. As a reminder, it was only 18 months ago that we announced our exit from handset manufacturing. You may recall the outlook at that time we provided or at the beginning of the fiscal year 2018 where we forecast that BlackBerry will ship on the hardware to an enterprise software model, while growing software and services revenue at or about the market, achieving profitability on a non-GAAP basis and generating positive free cash flow. It was complicated and tough work, but we accomplished all those operation and financial objectives and metrics. Our strategy is working. Customer, partners and industry analysts alike recognized our innovation as well as our market leadership. This gives us confidence that we could capitalize on the significant market opportunity available today as well as in the future. Now let me provide some highlights for the quarter, total quarter revenue came in at $239 million, total software and services revenue was $218 million, which was the third quarter of sequential growth and broker revenue record that we set last quarter. Gross margin came in at 79% which is another record high. Operating income was $19 million and operating margin was 8%, that’s versus 4% a year ago. This is the eighth consecutive quarter of positive operating income. Earnings per share was $0.05, total year ending [ph] cash and investment were $2.4 billion. Next, here are some of our significant highlights by businesses. I will start with the enterprise software business first. Revenue grew for the third consecutive quarter, billings also grew double digits year-over-year for the third consecutive quarter against a very tough comp if you guys remember a year ago we kind of started this move a year ago. Our results were strong across industry verticals as well as products and geographies. We experienced continued strength of the U.S. and German governments as well as broadening our reach in the government sectors globally. A notable deal in this sector in the past quarter was with U.S. Air Force who will be deploying our endpoint management solution. This solution is the only – this solution is the only FedRAMP authorized crisis communication product in the market which will cover over 1 million personnel and their families in about 200 locations worldwide – globally obviously. In total, the government verticals delivered more than 40% of our enterprise software business. We also experienced good traction in the other industry vertical while we have traditionally performed well such as the financial services. Recently, we are starting to see an up-tick of wins and activities in the medical and healthcare sector. In the quarter we have approximately 3,500 enterprise customer orders. Last week, we announced a pretty exciting new product BlackBerry Enterprise BRIDGE, which BlackBerry developed in collaboration with Microsoft. BRIDGE is the industry first of its kind solution, allowing customer to seamlessly use native Microsoft application from within the BlackBerry Dynamics container and for both android as well as iOS devices. Our extended partnership with Microsoft underscore the value we bring to enterprise clients by providing the highest level of mobile productivity as well as mobile security. Next, I will discuss our licensing business, our business continued to grow year-over-year and performed better than we expected. IP licensing is the largest component within this business. As I noted last quarter we see the revenue run rate for our IP license to be approximately $100 million on an annual basis. Our software license business showed progress. As our Asia based partners began to ship their BlackBerry KEYone during the fiscal quarter. We are also starting to expand our technology licensing business into the consumer electronics sectors, broadening our reach in enterprise of things. After the quarter ended, we announced the technology and brand licensing deals for BlackBerry Secure with Punkt Tronics AG which is the leading Swiss consumer electronics company. Punkt will bring to market a range of highly secure consumer IoT products that embed BlackBerry cyber security technology. Moving onto BlackBerry Technology Solution business, the BTS which include embedded software and assets tracking, growth was primarily driven by BlackBerry QNX. I know a bunch of you are waiting on this – about this. So are we by the way supported by the design wins we have previously communicated? Over the last 12 months, we have seen clear proof points of how BlackBerry embedded software is enabling automakers to deliver next generation connected cars. We are winning because the auto ecosystem is now recognizing the increased importance of safe and reliable software use in connected and autonomous vehicles. Good proof point of this came from the fourth quarter when we announced partnership with Baidu and Nvidia. We chose our safety certified QNX operating system. And at the North American International Auto Motor Show, we announced Jarvis a transformational cybersecurity product. Jarvis is a unique cloud-based binary code scanning solution that efficiently identifies vulnerabilities in software used by automakers. Jarvis is intended to represent a family of cybersecurity toolsets, which is the future BlackBerry could offer and generally recurring revenue stream. Jarvis is ideal for complex programming and co-integration. Jarvis has the potential to expanding other articles like healthcare as well as the consumer markets. After the quarter end, we were chosen by Jaguar or depending on which part of the continent you came from. I will use Jaguar as being from the West Coast of the United States. Jaguar Land Rover to develop technology for their next-generation vehicle, Jaguar Land Rover will license BlackBerry QNX and silicon technology. BlackBerry QNX will assign a dedicated team of engineers to assist. This direct relationship with second auto OEM emphasizing increased attention and the values that OEM placed or OI placing on ensuring that the future vehicle platforms are built with safety certified and better software. Moving on to FS tracking business, BlackBerry Radar reported its first ever million dollar revenue quarter. While the quarterly revenue is not yet significant, we did see contribution from the partners with 3 completes and Pana-Pacific that we announced last quarter. We also signed several new deals for Radar in the quarters, including one with Canada Bread, a leading producer and distributor of packaged breads, I don’t know, this rode our bread and bakery products in Canada. Packaged bread doesn’t sound very appetizing. More importantly, the number of opportunities in our pipeline continues to grow increasing by over 20% from last quarter. We are starting to see the returns on the go-to-market investment we discussed two quarters ago and we are now planning to enter markets beyond North America. Our business highlight this past year has been positive in our positive indicators and they are both all positive indicators of our progress made towards achieving our vision, our vision to secure the Enterprise of Things, the demand for emerging security and connectivity have increased in line with the number of connected enterprise endpoint being added. According to the Gartner December 27 forecast, now I am forced to tell you the report that it came from. Otherwise I wouldn’t be able to use the data. The report was from Gartner it was called Internet of Things endpoints and associated services worldwide. The data is that IoT will grow at a 32% CAGR compounded annual growth from 2016 through 2021 reaching an installed base of 25.1 billion units. We see our unified endpoint management and embedded software business of synergistic with this trend. We believed this vision translate into long-term growth and shareholder value creation. I will now turn the call over to Steve to provide more details on our performance.
Steve Capelli: Thank you, John. My comments on our financial performance for the fiscal quarter and year will be non-GAAP terms unless specified otherwise. I am also pleased with our performance in the fourth quarter and for fiscal year 2018. We delivered fourth quarter non-GAAP total company revenue of $239 million and GAAP total company revenue of $233 million. I will breakdown revenue shortly. Fourth quarter total company gross margin was 79% compared to 77% last quarter and up from 65% a year ago. The gross margin improvement of 14 percentage points over a year ago is attributed to the increasing contribution from software and services to our overall revenue mix for the full year total company gross margin of 75%. Our non-GAAP gross margin includes software-deferred revenue acquired, but not recognized of $6 million and excludes restructuring program charges of $3 million, stock comp expense of $1 million and other expense of $1 million. Operating expenses of $169 million were up 3% sequentially, driven by our planned investments in sales and marketing. Our non-GAAP operating expenses exclude $25 million in restructuring charges, $22 million in amortization of acquired intangibles, $12 million of stock comp expense and a benefit of $34 million of fair value adjustment related to the debentures. Non-GAAP operating income was $19 million and non-GAAP net income was $25 million, non-GAAP EPS was $0.05 in the fourth quarter. For the full year we delivered non-GAAP EPS of $0.14 versus $0.06 in fiscal year 2017. Our adjusted EBITDA was $36 million this quarter excluding non-GAAP adjustments previously mentioned. This equates to adjusted EBITDA margin of 15%. I will now provide a breakdown of our revenue in the quarter. Total software and services revenue was $218 million, representing 91% of total revenue and up from 65% compared to a year ago. For the full year we delivered total software and services revenue of $782 million, an increase of 14% year-over-year. This was at the higher end of our financial guidance provided at the beginning of the fiscal year. Total handset device revenue was $2 million and total SAF revenue was $19 million. Handset device and SAF revenues continues to wind down as expected given our exit from the manufacturing of handset devices. I will now provide a further breakdown of our software and services revenue in the quarter. Enterprise software accounted for 52%, BlackBerry Technology Solutions accounted for 21% and licensing IP and other accounted for 27%. Please refer to the supplemental table in the press release for the GAAP and non-GAAP details. Approximately 70% of software and services revenue excluding IP licensing and professional services was recurring in nature, this decrease from approximately 75% in our third fiscal quarter due to strong non-recurring government business in the fourth quarter. Now moving on to our balance sheet and working capital performance, total cash, cash equivalents and investments were approximately $2.4 billion. Our net cash position was approximately $1.7 billion at the end of the quarter. Aggregate contractual obligations which includes purchase obligations, operating lease obligations, interest payments and other goods and services utilized in operations was approximately $305 million at the end of the fourth quarter. This is down from $398 million a year ago. Moving onto the cash flow statement, free cash flow generated in the fourth quarter was $31 million which consisted of cash flows from operating activities of $35 million, net of capital expenditures of $4 million. Free cash flow generated for fiscal year 2018 was $47 million, which consisted of cash flows from operating activities of $62 million net of capital expenditures of $15 million. As Chris mentioned at the start of the call, the free cash flow amounts I just stated are before considering the impact of costs related to restructuring and transition from the hardware business and the net impact of arbitration awards and damages. Before I turn the call back to John to provide fiscal year 2019 outlook, let me briefly touch upon ASC 606 which is the new revenue recognition accounting standard. BlackBerry will adapt the new standard for the first quarter in fiscal year 2019. As such the fourth quarter and fiscal year 2018 [ph] financial results we shared today are all under the prior accounting standards. The new accounting standard is expected to have minimal impact on our business model. However, the change to ASC 606 will likely alter the timing of our revenue as an increasing amount of revenue will shift to a subscription basis for our enterprise business. The impact will not be as substantial as companies shifting to the subscription model for the first time. As a reminder approximately 75% of our annual business is already recurring in nature. Overall, we see this as positive because ratable revenue streams tend to become more predictable and growth becomes more scalable. We expect to provide additional information under the new accounting standards when we report our first fiscal quarter of 2019. That concludes my comments. I will now turn the call back to John.
John Chen: Thank you, Steve. Before I start I wanted to make a correction of what Steve just mentioned, he said that fourth quarter and fiscal year 2018, this job used [ph] long, but is not a couple of thousand years long. Okay, alright. Let’s I have a few things to – and I will look in 2019 financial, so we will share with you, number one. Total company software and services billing we expect to grow to be in double digit. Second the non-GAAP EPS to be positive even after there to be continued investment to capitalize on the going market opportunities that we spoke about a little earlier. This obviously includes the continued investment on feet on the street, more R&D and more marketing. Third, to deliver positive free cash flow before considering the impact of restructuring and any other legal proceeding that that Steve had laid out earlier. So I would now like to open the call. Carey, could you please manage that process for us.
Operator: Thank you. And we will now begin the question-and-answer session. [Operator Instructions] And we will take our first question from Trip Chowdhry with Global Equities Research.
John Chen: Good morning Trip.
Trip Chowdhry: Thank you. Hello, thank you and congratulations for another fabulous quarter. But a couple of questions both the U.S. budget the Department of Defense has more than $600 billion allocated for new equipment and a lot of technology into it, two questions in this, number one is does QNX has any play in say glass cockpit of the fighter aircraft or anything like that, second is there was strong push in the budget regarding cyber security and I was wondering if any of those are opening up as an opportunity for you yet?
John Chen: Okay. First of all on the on the QNX side, I don’t know the answer to the question whether we got strong push into the defense equipment. And the reason is our partners from QNX are typically the defense provider, the equivalent provider. So it would not be surprising that they will use QNX in some part of the embedded – as in some part of embedded solutions. But as far as we are concerned directly, no I have not encountered that. However, on the cyber security question is yes, as you – as I pointed out we see our end up in the government business sector quite strong. And I think I had referred – referenced the fact that we have 40% of our enterprise business. This past quarter actually came from government sectors mostly in the United States and Germany and also other countries governments. It is being driven not only in the United States, but everywhere else being driven the high awareness of the sensitivity to both cyber security and crisis management and so in both cases we do pretty well.
Trip Chowdhry: Excellent, very good. Congratulations again.
John Chen: Thank you, Trip.
Operator: And we will take our next question from Paul Steep with Scotia Capital.
John Chen: Good morning.
Paul Steep: John, could you talk little bit about how you are feeling about the software organization I guess in terms go-to-market, I know you had invested and we have been investing in the sales field force, what you are thinking about over the next year in terms of the buildup of that field force? And I have got one. Thanks?
John Chen: Okay. It’s – so we just had our sales enterprise group sales kicked off last week. Spirits are very high, obviously we would coincide that with the Microsoft BRIDGE announcement. So the sales guys feels very good about our prospect. And we are expanding it. We will continue expanding it because two major geographies, the EMEA and North America geography year-over-year growth of both quite impressive. And by the way, the EMEA team won, so we have a little friendly competition for the last year, but they both meet and exceed their numbers. So, that was a little jabbing back and forth here, but it seems to be a very – functionally, it’s quite strong. We are adding selectively, but we are adding feet on the street, where we are trying to make bigger hubs like in Europe and going after some very focused business, especially related like the new partner we have with NATO or new customer we have in NATO and the customers in government and financials and healthcare. So, we are continuing to expand it and see the results now.
Paul Steep: I guess the final question for me would be maybe your view on the M&A environment since ‘18 ended up being a good year, a cleanup year, it looks like you are on track organically, should we now be thinking as a group here about more M&A coming out of BlackBerry? Thanks.
John Chen: Yes, it’s continued to be a priority of the small group of people and we make it also very visible with the board and in discussing potentials. But as I always pointed out as the market valuation is still quite high, we want to be very cautious about how we spend the money, but we will. If I have to bet on this, I think something is going to happen in 2019, I am not saying this because I know exactly that we have something right now, but we certainly are talking to enough people.
Paul Steep: Thank you.
John Chen: Sure. Thank you.
Operator: And we will take our next question from Gus Papageorgiou with Macquarie.
Gus Papageorgiou: Thanks. Congratulations on a nice quarter. Just a couple of questions. For Radar, you said – you hit your first $1 million quarter, is that both hardware and the recurring service fees or just the recurring service fee if you could clarify that? And then just on the recurring nature of your business, I think you said 70% of the software is recurring, can you kind of give us a bigger picture, clear picture on by group, so VMM, VIP, BTS, how much of each of those segments is recurring?
John Chen: I could give you some general idea of that. So, let me answer the first question about the $1 million, the $1 million are actually a good thing is mostly hardware, because the software – the recurring revenue stock coming every time you turn that online, so it’s actually good news, because you could see it as a tail and the tail will continue to grow. So, from a business perspective, it’s the right thing, so mostly hardware because of timing not in the time, it’s a little bit of software in there and then it will go. And as far as the recurring are mostly in the enterprise group and it’s also the enterprise group that has these perpetual ones that because the customers, like a lot of the government agency, they wanted to buy, they still wanted to make procurement based on perpetual, because the way they budget. And so now after the 606 got kicked in – or the 606 already kicked in by the way technically on March 1. Our 606 kicked in, it kind of now it doesn’t matter whether it’s the one perpetual or ratable, because we are going to have to get better. And so the other ones are royalty based like your BTS is very strong, QNX is a very strong royalty base. As you can see that we are making our Radar business to be recurring, because of the monthly and we are trying to make our IP business to be predictably recurring and they are also tied to like in the case of the handset, we get X dollars of phones that being delivered or being sold. And so then, you could call it royalty, you call it recurring, but it’s certainly not a perpetual base. So gradually all our business is going to the ratable or recurring.
Gus Papageorgiou: Okay, great. Thank you very much and again congrats on the good quarter.
John Chen: Thank you.
Operator: And we will go to our next question from Daniel Chan with TD Securities.
John Chen: Hi, Daniel.
Daniel Chan: Hi, guys. I was wondering if you could comment about some of the things you will be working on with Jaguar, should we expect something similar or the system that you worked on with the Jaguar concept car that you launched last year?
John Chen: Something Daniel, it’s some more about that.
Daniel Chan: I mean, you guys had a Jaguar concept car last year, I think you have launched at CES where you showed the instrument cluster, hypervisor infotainment system, are these some of the things you are going to be working on with Jaguar, what’s the scope of this?
John Chen: It actually go beyond that. So that particular one is we are using a Jaguar platform to demonstrate our product. It was the one you saw. And Jaguar is now is taking a lot of our technology and try to design a new concept car, new generation cars. And so I wouldn’t be surprised they will come up little differently, because engineers and designers always come up with something different, but you think about the Jaguar thing, you saw the concept car, you saw was really for us to demonstrate, for example, where is your profit, we use that platform to demonstrate. I could easily use a BMW, which we have in our lab. We could use MDC, which we have in our lab, so we could do that, but it doesn’t mean that Jaguar will take that particular what you saw and turn it into a product, they might, but that’s not depending on – it’s all their call now obviously.
Daniel Chan: Okay, that’s helpful. And any early takers of Jarvis?
John Chen: Yes. There are – I know there is 6 POC going.
Daniel Chan: Yes, that’s great. And then just one follow-on, this has been another quarter of a good license line item be, can you give us some color around what was the source of that beat and whether we can expect that to be recurring or not?
John Chen: Well, we are hoping that, so the billings growth is, I would like to focus on billings right now. The billings growth are strong. We have been strong in our last three quarters and yet we are now strong in the fourth quarter in a row. We do expect from our sales team that the billings growth will grow double-digit in the FY ‘19. And so that really is the source, there was not any kind of something sudden major or one-time thing it was really that the base of the business seems to be much stronger.
Daniel Chan: Okay, great. Thank you.
Operator: And we will take our next question from Paul Treiber with RBC Capital Markets.
Paul Treiber: Thanks so much and good morning. Just wondering if the outlook for 2019 in the past in the last year you commented on the revenue growth outlook versus relative to the market, just hoping if you can provide an update on where you see that going?
John Chen: Yes. Steve already warned me that one of you will ask me that question, the reason why I like to focus on buildings right now, because I want to see how the 605, 606 sorted out and we feel good from a I guess quantitative perspective. We know our teams are winning. We have goals that are better than what other people has stated publicly, but of course those are internal goals. So, I think the best thing to do is give us a quarter and let us sort out the 605, 606 and then hopefully by then we will give you a little bit more color of that. But you could take it to the fact that we expect to have billings growth year-over-year in double-digits.
Paul Treiber: Okay, that’s helpful. And then just more broadly just in regards to autonomous, I mean, there has been a lot of news on autonomous and you put out that blog post, have you heard anything from your partners or customers in terms of changing timelines in terms of expectation for production launches of autonomous or autonomous features? And then related to that, how should we think about the timing of revenue for QNX, for BlackBerry from autonomous?
John Chen: Good question. So, let me first state, BlackBerry QNX are in two category we make money in two category, one is connected cars and the other one is autonomous car. Everybody like to focus on autonomous, because a little bit more flexy in the last number of years, but we built most out of business on the connected cars. So if you just look at our last quarter results, QNX actually grew 31% year-over-year and so that comes not from the autonomous platform, but it comes from the connected platform and it comes form the connected platform beyond infotainment, so which has always been our strategy and we stated that strategy beginning of last year in San Ramon. So I am really glad that the team are executing to what we have said and here are the results. QNX actually looks to having reasonable quarters going forward also. So that – then we will go back to the autonomous, yes, there seems to be in the industry. We always thought that the most aggressive people were BMW and Honda that wanted to get autonomous vehicle on the road by 2021, so you and I could buy. Then lately I started hearing this 2025 number, but it does not affect BlackBerry as much as long as I continue to win the design wins, I have development seeds and hopefully they will use Jaguar and so we could have revenue, but autonomous on the consumer business, but we definitely will get the revenue from the connected car. Does that help, did that help?
Paul Treiber: Yes, that’s helpful. Thank you. That’s fine.
John Chen: Thank you.
Operator: And we will take our next question from Todd Coupland with CIBC.
John Chen: Hi Todd.
Todd Coupland: Yes. Good morning, I had a question on self driving as well, so John when you look across the competitive landscape, it seems to be quite fragmented for different offerings, I know your argument is security, if you sort of like look out a couple of years, how do you see the market landing, do you think design wins are going to be concentrated in a few hands or will the market stay fragmented just give us your view on that?
John Chen: I think there will be – from the look of things there will be a number of Tier 1s – today there are probably I could name you about 10 Tier 1s are on the roll, I am sure they are a lot more than 10 Tier 1s, but the 10 Tier 1s are the names that we often talk about either they are my customers or my OEM customer – being their customers, so there is about 10 Tier 1s one of them. And these are the Harman, the Bosch of the world. And I suspect those Tier 1s will shape out to be a handful maybe three or four and become kind of industry standard platform that automotives build [ph] company build on. So my strategy or our strategy is as long as we are the component provider to all those four, five, three then BlackBerry will do pretty well. And I don’t see any reason why we wouldn’t be. We have been talking to them, they don’t look at us as competitors. Now they, the Tier 1s have to deal with a kind of a dividing line between that and the Google and Apple exploration and whether they wanted the data layer or they want the presentation layer, the maps layer or do they want beyond that. And again I am a component provider, I sell them once into Google car play or [indiscernible] definitely is not my competitor, they could be my customer. And Apple, we don’t run into each other. They definitely could have a secret project, try to provide auto component also. But I think the Tier 1s are more comfortable dealing with me, because I will never get into that space. I mean I am not going to get into the integration of technology or putting a carpet together. So I am sorry I rambled on it a little bit, because it’s a very complicated market, it’s one that has a lot of players in it. But I think we found our niche pretty well.
Todd Coupland: Yes. That’s helpful color. And then my second question has to do with enterprise software, you are calling out double digit growth, kind of feels like a flat market, will it continue to be further penetration in government in 2019, talk about what are the sources of growth in that business? Thank you.
John Chen: Right. Government financials still have a lot of growth in it. Obviously, we have to innovate revenue products. And as I said earlier we are starting to feel healthcare and another sector which is gas or energy sector seems to have a lot of opportunities, let’s say that. There is a lot of activities, let’s say. So as the cyber security and protection or cyber security in the mobile infrastructures is important, so I feel that is the source of growth. There is another source of growth, which is a geographic and part of our planned investment is to add increased resources in Japan, Korea and China as well as India. In India, we are actually now a country manager. So, that is another potential source of growth, just clearly pretty Greenfield out there. And then in addition to that, we ready ourselves with some new product upgrades or add-on or up-sell in crisis management, in secure file sharing and in the bridge app that we talk about which is a – if you asked me why is it a big deal, it was a big deal, because Microsoft and us got together and we could use our container which is the most secure way to wrap their code. And everything will look native to the users, which is something that today people wanted, but they don’t – they can’t get it, so they can – they could again native, but they can get the security of the containers, but now they could get both. And so we believe that our customer base would like to upgrade to that. Anyway, so we have product potential growth, we got vertical expansion growth and we got geographic growth, not everything will work perfectly, I mean I know that, okay, but if we work at it, you might see a good run there.
Operator: [Operator Instructions] We will take our next question from Vijay Bhagavath with Deutsche Bank.
John Chen: Hey, hi, Vijay.
Unidentified Analyst: Hi, this is actually Brian [indiscernible] for Vijay. Hey, can you hear me?
John Chen: Yes, we can hear you.
Unidentified Analyst: Thanks for taking the question. Can you help us understand gross margins in FY ‘19 or 2019 and sort of the out-years now with the majority of your handset business out of the model, is it reasonable to sort of assume gross margins in the high 70s range and what could impact that either to the upside or to the downside?
Steve Capelli: Sure. So, if we look at our gross margins, there is a cost of goods sold, which is relatively stable. So, as you look at the gross margins, if our revenues were in the $200 million range there will be – that should fall in the low 70s and in the $225 million, it starts to move to mid and then it starts to obviously ramp to the high 70s with the numbers that you have seen this last quarter. So, part of that is some fixed cost and moving on. There will be some downward pull on the margin related to professional services, which we have high margins for the industry, but not necessarily overall and naturally Radar brings some hardware with it, but given the size of those numbers, it should not be substantial. So, net-net, I would see the beginning of the year being in the low 70s moving up through the high 70s, but once we work through the year, I think it will be in the high 70s going forward.
Unidentified Analyst: Thank you.
Operator: And we will take our next question from Steven Li with Raymond James.
Steven Li: Thank you. John, the QNX growth in Q4, the connected platform, which you referred to, I can assume it’s recurring, right, so $46 million is your new quarterly base and you grow from here?
Steve Capelli: There is some consulting in there, I just want to say, there is obviously consulting and one-time licenses but John, you want to….
John Chen: Yes, the base is higher. Steve Capelli will try to pull you back down, but he is right, I mean, there are one-time catch up that is absolutely correct and there are some professional services in consulting that’s absolutely correct, but we have a higher base. We expect a higher base correct, so don’t go crazy to say number, modify a little bit.
Steven Li: Okay, perfect. And then on Radar, to set our expectations right, so can it become 10% of BTS revenues this year, it’s more likely targeting 2020? Thanks.
John Chen: It would be what 10%...
Steven Li: 10% of BTS.
John Chen: Let me see.
Steve Capelli: So he has taken the 45 and he is multiplying it by 4.
John Chen: By 4. And 2020 so they are probably not 10% but close.
Steven Li: Okay, very helpful. Thank you.
Steve Capelli: Particularly as you move to the later quarters as it starts to ramp up with its own recurring model.
Operator: And we will take our next question from James Faucette with Morgan Stanley.
John Chen: Hey, James. How are you?
James Faucette: Well, thank you. Thank you for your question. Just a follow-up question on the previous one when you say the base is higher, are you speaking about was it higher than previously or higher than I guess the revenue you hit this quarter?
John Chen: No, higher than the previously, because last year, last couple of years, there was a certain base on QNX and we believe now the base is going to go higher. And just follow-up on the last question with Steve and also as I said and which is true that Steve had pointed out there are some one-time in there, there was one-time catch-up of one royalty and there was a little bit of consulting services in there. The consulting services could actually be continued not that particular account maybe, but there will be consulting services revenue. And catch up will probably be harder to do to-date. So, if you moderate that a little bit, even if you moderate that a little bit, we do have a stronger base business now versus a year ago on QNX.
James Faucette: Sure, sure. And I also want to be sensitive to – there are some accounting related changes, but how should we think about the timing and the ramp as we go through the year, particularly with kind of new models beginning to launch and that kind of thing, I just want to make sure we are not messing up our modeling and assumptions as we go through the year?
Steve Capelli: I think what I have described previously, so let’s take one step back and really on your last question, so we are running in the high $30 million on a quarterly basis for a period of time, then the low 40s and now we are kind of in the mid-40s. And I think Steven Li and your question really was if we looked at Q3, Q4 was little higher than Q3 and while it was not significantly higher, it starts to move the new base into like that $45 million range. And I think what we have said all along was we expected in the second half to have another uptick and part of that was from other design wins. Now, that uptick may not be $5 million, but the uptick you will see an uptick in the second half from the first half and that’s because of the new cars coming out with design wins that we have won from a couple of years ago.
John Chen: I don’t think James. James I think are you talking about the company or you talking about QNX?
James Faucette: I am talking about QNX. Thank you.
John Chen: Okay, good. Alright, thanks, okay.
James Faucette: Yes, you got it. And then my last question is you had it looked like restructuring charges were a little bit higher this quarter than the same quarter last year, is that something that we should continue to expect in just kind of matter of businesses that particularly in the fourth quarter that there will be some restructuring or is there something unique this year?
John Chen: No, it should start ramping down over time. These are getting our facilities mainly around globally when we don’t do manufacturing handset. So, it’s really related to those. That’s the biggest chunk of them all. We are not really doing any restructuring anymore.
James Faucette: Okay, that’s great. Thank you so much.
John Chen: Thanks.
Operator: It appears there are no further questions at this time. I’d now like to turn the call back over to Mr. John Chen for any additional or closing remarks.
John Chen: Thank you. Before closing the call, I would like to mention our upcoming Analyst Summit on April 24 in the Bay Area. As you remember, what I just referred to a year ago we talk about our strategy of the QNX and how to move forward. I am very pleased to the fact that we were able to deliver the growth. We talk about the enterprise strategy and we have customers came in testify – testify is wrong word to support us about how important it is for cybersecurity that is embedded into our UEM, you heard that and you saw that – I hope that you will satisfy with our growth. We are quite pleased with the growth we had. And so this coming year, since we are going to do it once a year we would discuss the synergies between the UEM group and the embedded software group, so don’t miss that. And the roadmap to kind of kick our company making it more stronger and product any competition. So, please don’t miss that. I look forward to seeing you there and have a good day.
Operator: This concludes today’s call. Thank you for your participation. You may now disconnect.